Operator: Good day, and thank you for standing by. Welcome to the Winnebago Industries Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Steve Stuber, Vice President of Investor Relations. You may begin.
Steven Stuber: Thank you, Catherine, and good morning, everyone. Thank you for joining us today to discuss fiscal 2021 Fourth Quarter and Full Year Earnings Results. I am joined on the call today by Michael Happe, President and Chief Executive Officer; and Bryan Hughes, Senior Vice President and Chief Financial Officer.  This call is being broadcast live on our website at investor.wgo.net, and a replay of the call will be available on our website later today. The news release with our fourth quarter and annual results and the earnings supplement were issued and posted to our website earlier this morning. Before we start, I'd like to remind you that certain statements made during today's conference call regarding Winnebago Industries and its operations may be considered forward-looking statements under securities laws.  The company cautions you that forward-looking statements involve a number of risks and are inherently uncertain in a number of factors, many of which are beyond the company's control, could cause actual results to differ materially from these statements.  These factors are identified in our SEC filings, which I encourage you to read. With that, I would now like to turn the call over to our President and CEO, Michael Happe. Mike?
Michael Happe: Thanks, Steve. Good morning, everyone, and thank you for joining us again today. We, as always, deeply appreciate your interest in Winnebago Industries and taking the time to discuss our fiscal fourth quarter and annual 2021 results. I'll begin this morning with a discussion of the trends that drove our performance for the quarter and the year before turning it over to Bryan Hughes, who will discuss our financial results in more detail. Then I'll offer some closing comments and thoughts before we turn to your questions.  Our fourth quarter fiscal 2021 was a strong finish to a remarkable year, characterized by record revenue and record profitability, propelled by 3 key factors: first, a sustained elevated excitement for the outdoor lifestyle remained a powerful tailwind driving demand for Winnebago Industries premium products. Winnebago Industries grew fourth quarter revenues 40.4% year-over-year and 56.8% on an organic basis ex-Newmar compared to our fiscal 2019 fourth quarter; second, Winnebago Industries trend of expanding market share accelerated in the fourth quarter, gaining a full 2.1 percentage points of share during the 3-month period ending August.  Importantly, this is driven by both new and experienced consumers who recognize the differentiated quality and innovation in Winnebago Industries brand portfolio. And the exceptional service we are known to provide in partnership with our dealers; and third, our team's relentless demonstration of operational excellence, which enabled us to deliver for consumers and our dealer partners efficiently and profitably during a very challenging period as supply constraints and inflation have endured.  As a result, we expanded margins in both our Motorhome and Towable segments during the fourth quarter. Before I continue, I want to recognize the superb Winnebago Industries employee team. Our employees now 6,800 plus drawn with the addition of Barletta, have worked tirelessly to provide the high-quality products and exceptional service our customers and dealer partners have come to expect.  While managing through record high backlogs to meet the tremendous demand for our products, their dedication throughout this year has been the key factor in our success. The pandemic has undoubtedly catalyzed and accelerated powerful demand for outdoor experiences. And we believe this secular shift already underway pre-COVID-19 will have a lasting impact as more and more new families experience the great outdoors.  Over 10 million households camp for the first time in 2020, and we are tracking towards another estimated 4.3 million households to have their first camping experience in 2021. In addition to first timers, a new wave of engaged enthusiasts, especially millennials, younger generations are investing more of their time and income in the outdoor lifestyle. To put a finer point on this, even as we saw the easing of pandemic restrictions over the summer, creating a possible return to a broader set of vacation and travel leisure options. Our performance in the summer selling season was strong, setting revenue records in both our fiscal third quarter and now our fiscal fourth quarter.  Our record backlog of orders continues to grow and we are seeing rapid sell-through of inventory we provide to dealers. We are also confident that the diverse cohorts making memories in the outdoors will be the foundation of our growth in the decades ahead. So we're bullish on the broader recreation economy and investing to expand our reach beyond RVs, in line with our strategy to become a premier outdoor lifestyle company.  Early in the first quarter of our fiscal 2022 year, we completed our acquisition of Barletta Boat Company. Building on our past marine investment in the Chris-Craft brand, Barletta's premium pontoon boats meaningfully expand and extend our marine platform into one of the fastest-growing boating segments in pontoons. Looking ahead, we're excited to discuss the exciting opportunity in our new marine reporting segment in quarters to come. Due to the strength of our overall offering, we have been very successful in harnessing the industry-wide demand for the outdoor lifestyle and delivering net total growth.  Winnebago Industries is increasingly winning with customers, and we're proud that an outsized share of new outdoor adventures has chosen to become part of the Winnebago Industries' community. As of August 2021, our RV fiscal year-to-date market share is now 12.5%, up 140 basis points from the same period last year. Even better, we've been able to achieve these gains while maintaining record low levels of discounting. Our performance and ability to capture share in the full value of our products in a competitive market underscores the unique appeal of our differentiated brand portfolio, which includes a broad range of options for new customers as they enter the market as well as more premium products as customers upgrade and move up the value chain.  Continuing to invest in our products and brands unified by our golden threads of quality, innovation and service ensures we are positioned to meet consumer demands on technology and capabilities to drive share gains now and into the future.  Finally, our world-class team did a masterful job translating demand growth and market share gains into financial performance in the fourth quarter with an enterprise-wide commitment to operational efficiency, despite the challenges posed by the ongoing pandemic, including supply chain disruptions and inflationary pressures. These operational efforts can be clearly seen as we kept off the fiscal year with record consolidated annual gross margins of 17.9%.  One key element of our operational excellence is the success of our enterprise-wide operations and sourcing teams, who quickly adapted to component shortages and supply disruptions that have become commonplace across the supply chain. Our team has remained flexible using creative and strategic material sourcing strategies and solutions to keep our assembly lines moving. We will continue to monitor supply chain issues and provide updates along with our results as long as they persist. And importantly, we acknowledge the essential role that our dealer and supplier partners play in meeting the needs of our customers.  Our work to improve communication across our supply chain has allowed us to better anticipate and plan for disruptions in partner component availability. And we are continuing to strengthen and deepen our relationships with our dedicated dealer network as we focus on replenishing their inventories as quickly as possible. We are incredibly proud of our team and the performance in the fourth quarter and for our entire fiscal 2021 year.  Our results demonstrate that we are executing well on our proven value creation strategy. The new heights we were able to achieve in revenues and profitability demonstrate the unique strength and appeal of our growing platform as well as our world-class team. I want to thank all our employees who successfully managed through a growing backlog and acute supply chain challenge to execute on tremendous demand for our premium outdoor lifestyle products.  With that opening summary, I will now turn the call over to our Chief Financial Officer, Bryan Hughes, to review our fiscal 2021 fourth quarter and full year financials in more detail. Bryan?
Bryan Hughes: Thanks, Mike, and good morning, everyone. I'll touch on fourth quarter and annual highlights, recent capital allocation announcements and several items impacting reporting going forward. Please refer to our press release and our supplemental earnings presentation for information cited in this conference call. This information can be found on our Investor Relations website at investor.wgo.net.  As Mike mentioned earlier, our first fiscal fourth quarter was a strong finish to an already outstanding fiscal 2021. Fourth quarter revenues were a record $1 billion, an increase of 40% compared to the fiscal 2020 fourth quarter. Fourth quarter consolidated gross profit margin of 18.1% was up 150 basis points compared to the same period last year due to leverage, pricing, including lower discounts and allowances and profitability initiatives.  Fourth quarter record revenues and strong margins resulted in record levels of earnings per share. Fourth quarter earnings per diluted share was a record $2.45, an increase of 96% versus the same period last year. Fourth quarter adjusted earnings per diluted share was a record $2.57, up 77% versus the same period last year. Now turning to the full year fiscal 2021 results.  Consolidated fiscal 2021 record revenues of $3.6 billion increased approximately 54% from $2.4 billion in fiscal 2020, positively impacted by strong consumer demand for Winnebago Industries product, coupled with continued RV market share gains. Revenues were also positively impacted by pricing taken throughout the year, which was implemented to offset inflationary cost input as well as lower levels of discounts and allowances. Annual gross profit margin improved 460 basis points to a record 17.9%, primarily due to robust fixed cost leverage, profitability initiatives, increased pricing, including lower discounts and allowances and favorable segment mix.  In line with the fourth quarter, strong annual revenues and healthy margins drove record levels of profitability. Full year earnings per diluted share were a record $8.28, an increase of 350% compared to fiscal 2020. Annual adjusted earnings per diluted share also hit a record high of $8.55, an increase of 231% compared to adjusted earnings per diluted share of $2.58 in the same period last year.  Now turning to the individual segments. Towable segment revenues for the fourth quarter were $560 million, up approximately 35% from $414 million in fiscal 2020, primarily driven by strong-end consumer demand and pricing, which was implemented to offset inflationary cost input pressures. Segment adjusted EBITDA for the fourth quarter was $83.4 million, up approximately 36% year-over-year, primarily driven by the higher revenues. Fourth quarter adjusted EBITDA margin of 14.9% increased 10 basis points compared to the same period last year, primarily driven by operating leverage, which was offset by a shift in mix favoring travel trailers versus fifth wheel.  For the full year fiscal 2021, revenues for the Towable segment were a record $2 billion, up 64% from fiscal 2020, driven by high demand for our towable products and pricing, which was implemented to offset inflationary cost input pressures. Segment adjusted EBITDA for the full year was $289 million, up 95% from fiscal 2020. Segment adjusted EBITDA margin of 14.4% increased 230 basis points for the full year over fiscal 2020.  Now let's turn to our Motorhome segment. In the fourth quarter, revenues for the Motorhome segment were $448.9 million, up approximately 49% from the prior year, driven by strong end consumer demand, particularly in Class B and Class A and pricing, which was implemented to offset inflation. Segment adjusted EBITDA was $50.4 million, up approximately 159% from the prior year. And adjusted EBITDA margin was 11.2%, an increase of 480 basis points over the prior year and 150 basis points sequentially, driven by fixed cost leverage and profitability initiatives.  For the full year fiscal 2021, revenues from Motorhome segment were $1.5 billion, up approximately 46% compared to fiscal 2020 due to increased unit sales and pricing. Segment adjusted EBITDA for the full year was $169.2 million, up 414% from fiscal 2020. Segment adjusted EBITDA margin for the full year was 11%, up 790 basis points over fiscal 2020.  Turning to the balance sheet. As of the end of the 2021 fiscal year. The company had outstanding debt of $528.6 million comprised of $600 million of gross debt, net of convertible note discount of $60.4 million and net of debt issuance costs of $11.1 million. Working capital was $651.6 million. Our current net debt to adjusted EBITDA ratio is 0.4x, below our targeted range of 0.9x to 1.5x, providing financial flexibility and balance sheet strength to enable continued investment in our strategic imperatives and health returns for our shareholders. We continue to maintain a very healthy liquidity position.  Our cash balance increased to $434.6 million at the end of fiscal 2021, and we have not drawn on our $192.5 million ABL. This liquidity of approximately $627 million provided the necessary funding for the Barletta acquisition, which closed in early fiscal 2022. We also bought back approximately $45 million worth of shares throughout the year with approximately $35 million occurring in the fourth quarter. Combining share repurchases with dividends paid, Winnebago Industries returned a total of $62 million to shareholders in fiscal 2021, while also growing the business significantly.  The effective income tax rate for the full year was 23.3% compared to 20.5% for fiscal 2020 due to relatively consistent year-over-year tax credits on higher pre-tax income in fiscal 2021. Looking ahead to fiscal 2022, we expect our tax rate to be in the range of 23.5% to 24.5%, not considering unforeseen discrete items or any change in the tax law. Our balance sheet and financial health have never been so strong. With that in mind and looking ahead, I want to comment on our capital allocation priorities.  First, we will continue to invest in our business and advance our strategic priorities focused on growth and to meet the robust demand we continue to expect. We are planning investments to add capacity, including new facilities, executing production flow, redesign and optimizing our operational capabilities. These improvements will support continued production output as well as product innovation, and they signal our confidence in the future of Winnebago Industries and the vitality of our end markets.  We continually look for areas of improvement across our Winnebago, Grand Design, Newmar, Chris-Craft and now Barletta, manufacturing and assembly footprint and will add meaningful square footage in the coming year. Our acquisition of Barletta completed in early fiscal 2022 was primarily funded out of cash but also included newly issued shares. This effective deal structure keeps our liquidity position strong and our leverage ratio low, so we can continue to pursue M&A opportunities as they arise.  Issuing shares also serves to align all parties on driving a successful integration and our collective future success. On August 18, 2021, the company's Board of Directors approved a quarterly cash dividend of $0.18 per share, payable on September 29, 2021, to common stockholders of record at the close of business on September 15, 2021.  This quarter's dividend declaration represents a 50% or $0.06 per share increase from the previous quarter and further demonstrates our confidence in future business performance while also delivering financial returns to our shareholders. As mentioned previously, we returned approximately $45 million to shareholders through share repurchases during the year. with approximately $35 million occurring in the fourth quarter.  To enable further repurchase activity in the future, our Board approved a new share buyback program on October 13 that authorizes us to repurchase up to $200 million of our shares in the future. This should be interpreted as a signal that we have confidence in our future, and we will continue to utilize our share repurchase program as another mechanism to return cash to our shareholders.  Before I conclude my remarks, I want to raise 3 items that will change our reporting beginning with the first quarter of our fiscal year 2022. The first is that, as previously announced, our acquisition of Barletta Boat Company materially increases the scale of our marine platform. Beginning next quarter, Q1 of fiscal 2022, Winnebago Industries' public reporting will include a new reporting segment, the Marine segment, comprised of Barletta and Chris-Craft. Comparisons will be made to fiscal 2021, which will only include Chris-Craft results, and we will report the same key data points for the Marine segment as we do with our RV segments, specifically revenues, units, adjusted EBITDA, backlog and field inventories; second, going forward, we will be adjusting for 100% of intangible amortization within our adjusted earnings per diluted share metric. We are taking this step to ensure that our adjusted earnings per share best reflects the core operations of our business.  The impact of this change to fiscal '21 results is available in the earnings release and the earnings supplement also has a page dedicated to this topic, showing both the impact as currently estimated to fiscal '22 and also the impact to fiscal '21, including a breakdown between the Barletta acquisition amortization and previous acquisitions; third, the tax rate for adjusting items that impact reported earnings per share to arrive at adjusted earnings per share will be 24.2%.  We have historically utilized the federal statutory 21.0% rate. This change will be effective going forward, and we will not restate prior years. To conclude, our Q4 and annual fiscal 2021 results reflect very strong position in the industries we compete in and also reflects the great contributions to the Winnebago Industries portfolio of businesses and the people that comprise these businesses. We are extremely proud of these results, and we have strong expectations for our future. That concludes my review of our quarterly and full year financials with that. I will now turn the call back to Mike to provide some closing comments. Mike?
Michael Happe: Thanks very much, Bryan. As we reflect on 2021, as Bryan said, we're proud of the financial, strategic and cultural strides we have made together with our talented team. In addition to delivering strong financial results and market share growth, Winnebago Industries also continued our deep commitment to our corporate responsibility to our communities and shareholders. As part of our commitment to our Winnebago Industries family and all of our stakeholders, we have made several important strides towards enhancing our ESG efforts across the organization.  In August, we welcomed Winnebago Industries' first Head of Diversity, Equity and Inclusion, Jill Littlejohn Bostik. Jill is responsible in partnership with the rest of company leadership for advancing DEI programs and initiatives and leading the execution of our overall DEI strategy and road map.  As an example of lifting others up, we launched a year-round Go Together fund to aid employees facing natural and personal disasters. Following our work mobilizing resources recently to support earthquake relief and recovery in Haiti as an example, which is closely connected with many of our valued Chris-Craft teammates.  At Winnebago Industries, we are committed to the pursuit of outdoor adventures and in doing so, seek to be vigorous protectors of the environment. It is essential to our mission that our employees and customers are able to experience the beautiful natural spaces our planet has to offer. In the spirit of reducing our footprint for the next generation of outdoor enthusiasts, we recently strengthened our commitment to sustainability by joining the business ambition for 1.5 degrees Celsius, a United Nations backed global coalition of business leaders. As part of this program, we are committing to help limit the impact of climate change by setting a goal to achieve net zero greenhouse gas emissions by 2050.  We also announced additional goals on water, waste and product sustainability. We look forward to working with the science-based target initiative and external validators to develop an enactive plan for achieving this net zero goal, which represents an important focus of our corporate responsibility strategy. As we move into the coming year, you can expect us to continue to prioritize corporate responsibility in our investments and partnerships.  Turning to the future. The unprecedented interest in our products and bullish industry outlook has provided us with a very bright outlook for fiscal 2022. In addition to leveraging the strength of our RV and Chris-Craft brands, we are excited to add Barletta, the fastest-growing brand and the fastest-growing segment of the marine category in pontoons. Barletta's quality brand and high-quality dealer partners adds to our existing portfolio of premium brands, bringing more families access to the long-term value of Winnebago Industries' quality products provide.  Collectively, our brands exemplify quality, service and innovation to our dealers and end consumers. The golden threads that will drive market share gains for us in the RV and marine industries during fiscal '22 and the years ahead. Consumer interest in the outdoors remains strong. Campground reservations are just 1 metric that remained robust due to more households camping and camping more frequently.  Website traffic is as strong as ever on our websites, and dealers continue to see steady interest in the outdoor lifestyles of RV and boating. As I mentioned earlier, over 14 million households will have experienced camping for the first time since -- during the 2021 and 2021 period. And those experiences have resulted in many of those families buying their first RV. As these new households experience the outdoors and further identify what they want from their experiences, our dealers are already seeing the upgrade cycle take place. Yes, some new customers from 2020 are trading out of the lifestyle, which is not at all historically unusual.  But our broad dealer conversations across all RV brands indicate dealers are also seen at a higher accelerated pace of users trade up, a trend that favors our premium brands as we tend to outperform the broader market when consumers upgrade.  Long term, we believe the number of new customers who came into the outdoor lifestyle in 2021 and 2020 will bode well for the industry. And we're particularly excited about the number of kids who experienced RV and boating as those experiences have been proven to translate into a love of the outdoors throughout their future lifetimes. From a supply perspective, we continue to see material and component cost increases from suppliers, and we continue to manage out of stock or late deliveries on a weekly basis.  There is limited visibility right now to when those trends will dissipate meaningfully. Despite those challenges, though, we continue to deliver record-level revenues and margin accretion as our teams continue to work very hard in deploying effective sourcing and production strategies.  Given the levels of cost input inflation that we have witnessed over the past year, we are thoughtfully working to mitigate these cost increases with our internal cost savings initiatives. However, it has also been necessary for us to pass price increases that serve to offset the inflationary pressures we are seeing while also ensuring our products are viewed as having exceptional value in the marketplace.  The level of price increases year-over-year across our portfolio of our respective brands varies from mid-single digits to 20% plus. There is no one price increase number for our business. Each of our outdoor brands are blending a price to market and price to cost approach that protects profitable market share growth. Accordingly, consumers are seeing the price of boats and RVs go up as pricing to the consumer is a combination of OEM pricing and improved dealer margins due to high levels of demand.  Retail pricing is not a result of OEM pricing strategy alone. Despite higher prices, we are still sustaining a higher double-digit percentage retail pace currently than 2 years ago. Before we open the call to questions, I want to touch quickly on expectations for the RV industry for the upcoming year. We are aligned with RVIA's recent -- recently released RVIA forecast for calendar year 2022, which calls for 600,000 wholesale shipments or a growth of 4% versus the calendar year 2021 forecast of 577,000 units.  On a fiscal year 2022 basis for Winnebago Industries, the RVIA forecast translates to 605,000 wholesale industry shipments or 6% growth compared to the fiscal 2021 number of 569,000 units. As for retail, Bryan and I have mentioned several times this morning that we expect consumer demand to remain healthy. RV retail sales for the industry in our fiscal year 2021 were approximately 585,000 units, a record number and will likely be adjusted upwards as SSI adjustments take place in the coming months.  Looking ahead, we expect that fiscal 2022 RV industry retail sales will be strong. While they will still likely fall short of the record fiscal 2021 retail results, we fully expect that we will see industry retail sales for our fiscal 2022 period, notch the second highest level of industry retail sales on record in that period.  Given that outlook, it is highly unlikely that industry field RV inventories will be adequately replenished by the end of our fiscal year 2022, suggesting that the restocking phase will continue into our fiscal 2023. As we approach inventory normalization sometime in the future, we've mentioned in the past that we could see that some dealers, not all, but some work on lower levels of inventory and higher turns.  In line with history as markets normalize, dealers will rationalize the quantity of OEM brands on their lots, and we believe we are competitively advantaged in that scenario with our brands. We would also expect that dealers will return to more normal or historic levels of profitability, implying pricing to end customers may ease as that occurs and as general inflation dissipates in the future.  That concludes our prepared remarks this morning. Thank you for your time, and I'll now turn the line back over to the operator for the Q&A session.
Operator: [Operator Instructions]. Our first question comes from Craig Kennison with Baird.
Craig Kennison: And Mike, thanks for the commentary towards the end there on your outlook for the industry. You had mentioned earlier that first-time buyers were coming back and some were exiting the lifestyle. How would you compare that rate to maybe the historical rate of first-time buyers, not all of whom choose to stay.
Michael Happe: Well, first of all, Craig, and thanks for your question. I think it's probably a little bit too early to quantify a rate trend on new consumer either exits from the lifestyle or upgrades further into the lifestyle. What I do want to caution investors and listeners on this call is that because of the record number of new consumer retail sales in the past 18 months, it is likely inevitable that we'll see a higher gross unit number of new consumer exits at some point.  Conversely, we also believe we'll see a record number of new consumer upgrades to new models in the future as well. In the last week or so, we thoroughly canvassed many of our dealers asking the question, Craig, that you asked here this morning. And we are hearing broadly that the net retail demand with new consumers remains positive going into the future, meaning that our dealers believe that more new end consumers will upgrade versus exit.  What I can't tell you quantitatively yet is what that mix looks like and how that might differ from a pre-COVID period.
Craig Kennison: That's great. And then just as a follow-up to the price increase that you had mentioned due to inflationary pressure on your costs. How -- to what extent are you concerned that at some point, we reach a level where consumers say that's too much and I can't afford an RV and therefore, maybe some of the retail expectations that are embedded in the RVIA forecast prove too high.
Michael Happe: Craig, that is a valid question as well, and we get asked that regularly by many stakeholders within our business. And again, I think the answer to that is difficult to tell. Certainly, we would prescribe that there is a general connection between pricing and demand over time.  However, with limited supplies of outdoor products available on the market and increased interest of consumers coming into the outdoors, the combination of those is currently creating a sustainability of relative demand for our businesses. It is difficult to look ahead over the next 2 to 5 years and understand where pricing will settle based on cost. I'll give you one example.  There have been recent discussions by the administration and looking to negotiate or implement rollbacks in some of the tariffs introduced in 2018. That would be a good development for us in terms of reducing some cost pressures on some of our components. Conversely, if inflation dissipates over time, and if we see retail pricing from dealers to consumers dissipate a bit, we believe that you will see pricing in the market begin to settle and normalize, albeit at most likely a higher retail price than pre-COVID.  But it is difficult to tell how that will impact the market. And part of the reason is, is we're seeing a shift in generational mix of consumers in the outdoors. A good example is the Latino or Hispanic participation in camping. In 2020, 6.5 million Latino households camped in 2020, that is like 4x greater than what it was in 2014. And the mix of Hispanic campers, as an example, has grown from 2% 7, 8 years ago, to low double digits as a mix of total campers in 2020.  And so what we can't tell is what the impact of increased demand will have on the ability for pricing to be held in the future. So I'm optimistic that we will not see a significant whiplash backwards in prices, but it's difficult to answer with any certainty your question. For the time being, the prices are being digested at still high levels of retail in the market.
Operator: Our next question comes from Gerrick Johnson with BMO Capital Markets.
Gerrick Johnson: Can you talk about the availability of chassis also the chip shortages we've had, how is that affecting you or how had that affected you? And currently, what's your biggest bottleneck right now?
Michael Happe: Well, Gerrick, I'll take the second question first. That depends on the day of the week, unfortunately. We continue to see supply chain availability issues across a variety of categories. So I'll apologize, but I won't single out any particular material category or component category because what I say this morning would be a different answer than 2 weeks ago, and it will be a different answer 2 weeks from now. What I am pleased with is that our teams across the businesses are unfortunately well versed in navigating these challenges along with our suppliers and working on creative solutions with the supply chain but also with our production strategies as well.  We're actually getting better. I don't know if we ever want to be perfect, but we're getting better in managing our production processes to be more agile, specifically concerning motorized chassis and the chip shortage issues. This is an issue we've been dealing now with the better part of the last 9 or 12 months. And I would say it's no -- dramatically no different today than it was 6 to 9 months ago.  We have very strong relationships with our motorized chassis suppliers. Our teams are in constant, daily contact with them about our future forecasts and needs. And conversely, those chassis suppliers have been pretty transparent about their allocation of chassis to the respective customers in the RV industry. And so we're able to really forge a production schedule around our mutual forecast and commitment. And we continue to believe that we can be competitive in the motorized market with our lineup with both the Winnebago and Newmar brands, and that we will have our fair share of motorized chassis in order to compete for relevant share in the future.
Operator: Our next question comes from Scott Stember with CL King.
Scott Stember: Mike, could you talk about the Motorized segment? Obviously, we know these are doing well, and you've got a bunch of new products that have come out like the EKKO. But just maybe just talk about the -- some of the more legacy brands like A and C. I know that you have a bunch of new stuff that has come out or is about to come out, talk about how they're faring in the market and how your share there is varying.
Michael Happe: Thank you again, Scott, for the question. And I'm assuming that question is probably more specific to the Winnebago brand of motor homes, but let me just quick touch on Newmar before I get to the Winnebago brand. As almost all of you know on the call, we closed on the Newmar acquisition in November of 2019. And in March of 2020, we were shutting down our factories across the company due to the pandemic.  So the integration of Newmar was really an unprecedented integration in the first year, 1.5 years or so because of COVID-19. And as we've said on past calls, the Newmar supply chain was actually one of the most impacted supply chains in our last 12 to 15 months versus the other businesses. And that's due to a number of reasons. But candidly, some legacy sourcing strategies that we are working to revise in the future to make Newmar's supply chain more resilient. The Newmar business is still continuing to take significant Class A share in the market, both on Class A diesels and on Class A gas, and we actually believe they are poised to have a significantly better year in our fiscal '22 period than they did in fiscal '21 from a production and wholesale shipment consistency standpoint.  So I start there because our overall Motorized Class A share will certainly benefit from Newmar continuing to grow, be healthy and especially improve on the supply chain. On the Winnebago side, all of you know that our strength, at least in the last 5 or 6 years has generally been more in the Class B segment.  And we are fighting ferociously to hold as much share as we can versus an onslaught of new products from our competitors. We have not been overly pleased with our competitiveness in the Class A category and the Class C category. But that is beginning to change with the introduction of some new products, specifically the Journey, Class A diesel on the Winnebago branded side and the recent introduction of the EKKO, a Class C product that's just receiving rave reviews. We have a significant backlog on that order-wise, and we believe those 2 are the first of several new product introductions in the future that should stabilize and regrow the Winnebago-branded market share in Class A and Class C.
Scott Stember: Got it. And then last question. Can you maybe just talk about how we should look about Barletta as it falls into the equation here from a seasonality standpoint, the impact to the margins that we should look for and just give an idea of any onetime charges coming through potentially in the first quarter.
Michael Happe: Well, I'll comment on seasonality and then turn it over to Bryan Hughes for comments on some of Barletta's projected financial contributions as we've communicated previously. We are very excited about Barletta being on our portfolio. We closed on that business early in our fiscal '22 year. So about 7 or 8 weeks ago, and the team is energized.  The business remains very healthy. Obviously, you'll get more information in December when we communicate our Q1 fiscal '22 results, but backlogs are strong, retail is strong. They continue to take share. The seasonality of their business, candidly, right now, probably looks a lot like RVs because of the demand that they're seeing and the rate of growth in this sort of hyper demand environment, especially where in wholesale shipments are needed to meet rising demand from dealers for both retail and inventory, the wholesale shipment line, the seasonality is really sort of depressed across all of our businesses because of the high wholesale demand.  But they'll look a lot like other significant marine, especially pontoon cycles in the future. But for the next probably a couple of years, their high wholesale demand will dampen any real seasonality effects. Bryan, your thoughts on financial expectations?
Bryan Hughes: Scott, we disclosed the Barletta deal as part of our conference call back when we announced. And the sales growth that we're expecting from that business, it's building off the really strong trends that the Barletta team had built. We're expecting for calendar year '21, $26.4 million of EBITDA at calendar year '21. Expect that would grow from there, certainly in our -- for our fiscal year 2022.  I'd also refer to people on the call here to Page 26 of our earnings supplement. It calls out the specific amortization that we're expecting related to the Barletta deal. It amounts to $15.7 million for fiscal year 2022. That's the full year amount. And it's $4.6 million of amortization in Q1, 2 and 3, and then it falls off to $1.8 million in Q4.  You asked about onetime expenses. We'll call those out as part of our Q1 press release. You'll be able to see very clearly because we call that out as part of our adjusted EPS number. So we'll provide that disclosure at that time. Obviously, we have a high expectation for this business and really like to see -- we really like what we see in the growth.
Operator: Our next question comes from Mike Swartz with Truist Securities.
Michael Swartz: Just a quick question, maybe, Mike, on market share gains. Just broadly speaking, obviously, based on what you've called out today, we've seen an acceleration maybe versus the prior several quarters. Maybe just talk to what do you think is driving that acceleration in market share? Is it just you're -- maybe operating better than others in the industry is there something else that we should be thinking about?
Michael Happe: Mike, thanks for the question. Your hypothesis would probably be similar to ours that we -- our teams generally believe that they're executing in a competitively advantaged way currently, meaning that their product lines are sharp, that the brands, the models that they have in the market have value within consumers, that they're nurturing and strengthening their dealer relationships to mutually market and sell those products, turn leads into closes.  We're working together hand in hand on what we call retail sold units where consumer puts deposits down with future retail delivery. Those aren't showing up at all yet in the SSI data, but we feel very confident about future retail based on the retail sold numbers that each business has seen. And yes, it does have to do, to some degree, with the ability to get the right product at the right time to the dealers when they need it.  And there's probably been no time in the history of the RV industry and probably the marine industry as well, where the correlation between shipment share and market share from a timing standpoint is so tight. And so we recognize if we can deliver products at a higher rate to the dealers with the highest retail demand that we can take advantage of retail opportunities.  But we've worked, as you know, for many years to strengthen our RV position, both organically with the Winnebago brand, but with the Grand Design and the Newmar brands as well. And we feel very fortunate that all 3 of those brands are pretty healthy right now, notwithstanding some of the areas I mentioned in the earlier answer on Winnebago Class A and Class C, where we have some more work. So again, I think the short answer is it is operational effectiveness right now.
Michael Swartz: Okay. Great. And then maybe just second question on pricing. There's a lot of, obviously, a topic of discussion around this. But I guess just from a -- maybe more of a strategic standpoint, I mean, how are you passing through the pricing? I mean from a timing perspective, are you taking pricing before you see the cost increase come through? Or are you doing it kind of in lockstep. And then just talk about how you're passing that pricing on to the consumer. Is -- I guess, are you priced protecting your backlog may be the second part of that?
Michael Happe: Yes. So the answer, unfortunately, to your question is it depends. We give each of our brands pretty broad autonomy in latitude to price their products as they see fit for their brands. And certainly, Bryan and I are kept informed and updated and engaged in conversations from time to time on the merits of those strategies. But as my comments in the script for trade, it is a blend of price to market and price to cost.  We have some really innovative products in the Solis, in the EKKO, we have some high demand products, many of them in the Grand Design line. Newmar has got some really great Class A diesel products that are taking share.  So there, you're pricing more to market, where you can get value in dollars for your innovation or your product leadership. But we probably have priced more to cost in the last 12 months than at any time in my almost 6 years with the company, and that's just the reality of the commodities and the component costs moving at a rate that we have trouble catching up with the times and the projections of when they'll begin to go into neutral.  I won't go into details, but many times, we have thought certain commodities were going to start to flatten out from a curve standpoint in terms of pricing. And they break through to yet another level. And there's no significant sign yet that many of the costs are just going to dramatically slow down quickly.  So the answer to your question on how we price does vary by brand and by product. There are times where we can see future costs coming at us, based on sources that we trust in terms of projection or suppliers that are transparent in what they intend to do. And in those cases, we'll try to take proactive action. In other cases, we're chasing. Never before have we seen suppliers come to us and implement cost changes the next day. In many cases, historically, they'd say, "Hey, you have 2 months, 3 months and then your prices are going up," or they would go up at the same time roughly every year. And so we are dealing with sometimes weekly price increases in an unexpected nature and then reacting to that.  From a price protection standpoint, almost all of our businesses in most of their lineups are very transparent with the dealers that were not able to price protect most of the wholesale backlog. There have been varying degrees of protection on retail sold units and that varies by brands, but that is becoming difficult to protect as well when we don't know what the true cost of that unit might be that has a retail deposit against it if we haven't even built it yet. So it is a very, very dynamic, hectic pricing environment. And I think our teams are doing a really good job to try to, again, balance price to market, price to cost.  And we'll see how the future goes in terms of implications as one question was with demand earlier. But we believe that we are able to grow market share with -- unit-wise, with the pricing strategies we are employing today.
Operator: Our next question comes from Fred Wightman with Wolfe Research.
Frederick Wightman: I was hoping you could just comment on some of the SSI data for the past few months. It looks like that 2-year trend has been coming down. Is that just due to inventory? Any sense for that? How much of that is supply driven versus maybe some delta impacts or just what you're seeing at the consumer level?
Michael Happe: Yes. I think it's -- one, it's a function of timing, right? With every month, we pulled two years ago, closer to the present. So we are seeing that trend as well. The only thing I can comment on, Fred, is our retail pattern and it generally has been overperforming the industry. But I tend to do this from time to time on these calls. But as I look at our retail results fiscal year 2022 to date.  So our first 7 weeks, we are still running a very healthy double-digit increase in retail units sold in -- versus 2 years ago. So -- well, that number will naturally lower over time because you're going to start to see 2019 turn into 2020 at some point in terms of a 2-year comparison. And beginning in May of 2020, we're going to start to see sort of 2-year comps against May of 2022 start to be very difficult because the record retail demand of the sort of the COVID period will be in those 2-year comps. So I just think we're on a general glide slope in that direction as sort of COVID accelerated retail demand has moderated a little bit with continued low field inventories, maybe some slight impact to higher pricing.  You're starting to see some of those comps versus year-over-year or 2 years become more difficult. So as we said in our script, we are in one of the most unprecedented times in the outdoor industries in terms of both retail demand, dealer inventory, subsequent wholesale demand and backlogs.  And so my concern is that especially those with a shorter-term outlook, they will look at some of these barometers and overexaggerate or emphasize the degree of peril or industry negativity that comes with that data. We're seeing record levels of outdoor engagement. And we believe that, that bodes very well for what this industry looks like, both in RV and also boating 5 to 10 years from now.  The next year or two will continue to be challenging from a comp period to interpret whether the market is overly healthy or less healthy. We tend to take the glass half-full approach that our industries are fine and that outdoor demand will sustain itself into the future.
Frederick Wightman: Great. And then just 1 quick follow-up. Mike, when you're talking about those double-digit increases for retail, is that written business or actually delivered units?
Michael Happe: That's actual retail registrations. So again, we'll share full first quarter results for our business in December. But as I often do on some of these calls, I tease you guys with current performance. We're continuing to see strong 2-year comp numbers on our business.
Operator: Our next question comes from James Hardiman with Wedbush Securities.
James Hardiman: A lot of my questions have been asked, but I did have a couple of very brief follow-ups. I guess, firstly, I can appreciate that there's a lot of nuance. But would you say that the supply chain issues are getting better, getting worse, staying roughly the same?
Michael Happe: Well, I would say they're getting better for the following reason that in the call this morning, we've projected a 4% calendar shipment increase from 2021 to 2022. And a 6% fiscal year increase in industry shipments based on our fiscal period. So I mean they're getting better. And I've said this before, our suppliers are great. I mean they're working hard. They're taking care of their employees during these COVID times.  They're doing everything they can to procure materials and manage costs. And this -- our industries are producing at record levels of output. And we believe that, that will continue. And if you do the math on roughly 600,000 units a year in a calendar year, you're talking on average, 50,000 units a month. And when we've seen that number on the RV side, be 45,000 to 53,000 units a month over probably the past 6 months. So we believe that you're probably going to see consistently more 50,000 unit production or wholesale shipment months say in some of the holiday periods in the next 12 to 16 months going forward.  So I would say -- so the net answer is it's improving that doesn't mean that the daily gymnastics are any less interesting. We continue to manage routine out-of-stocks or late deliveries. But I think collectively, we're headed the right direction.
James Hardiman: And just to clarify that, that point about the 4% to 6% shipment increase. There's no reason to believe that that's all going to come late in the year. I mean we should expect some amount of growth in the near term? Or is that not the best way to think about it?
Michael Happe: I can only tell you based on our production levels today that our plants are running at very strong levels as we speak. And so I'm anticipating that our competitors are achieving some of the same in that you will see healthy shipment unit numbers in the RV industry, especially. And I would imagine on the marine side as well in the next month and the months to come.  Can it get better in the later half of 2022. We certainly all hope so. And because of the field inventory status, maybe there's upside to that 600,000-plus number if the supply chain can get even more consistent. But we will see. I think the 600,000 unit number or 605 for our fiscal period is a -- I think that's a good number to sort of place an over/under bet on for now.  And as an industry, we're all rooting for the over.
James Hardiman: That's really helpful. And then lastly for me, maybe you contextualize your new share buyback authorization that I think it was $200 million. How quickly you might want to work through that. Obviously, there was a pretty big step up in the fourth quarter with a $35 million. I don't know if that's an indication that you think your stock is really cheap right here, you're getting opportunistic or some other reasons. But how should we think through your interest in sort of quickly getting through that or sort of slow and steady wins the race?
Bryan Hughes: This is Bryan, James. It's a mechanism that we want to have available to us. As I said in my comments, our priority is to continue to grow the business organically and inorganically. So that's priority 1. We obviously want to maintain our liquidity and our leverage ratio in the right range. That's priority 2. And then we want to return cash to shareholders. We obviously talked about the 50% increase in the dividend we executed and the healthy share repurchase we did in Q4 here.  And it's a great mechanism for us. And we don't give a time period with which we expect to exhaust that $200 million because it's obviously subject to the other priorities that we've laid out. And so -- it's a mechanism that we like to have available to us, and we certainly will use it as it makes sense to do so, but in light of the other priorities that we have.
Operator: Our next question comes from Bret Jordan with Jefferies.
Ethan Huntley: This is Ethan Huntley on for Bret. Just want to hear regarding the Towables backlog. It seems like units came down sort of ever so slightly sequentially, but on a dollar terms increased. Could you just sort of provide any color on the mix within that backlog?
Michael Happe: I don't know if I'd have anything of significance on that. I mean constant in that segment is roughly viewed for us as healthy. The Towables business has been the part of the RV segment that has been predominantly gaining the most share here for us in the past several years.  I will be very transparent with you all on the call this morning that some of the backlog numbers were actually taken backwards internally because we do not have slots for production on some of the models that have orders from dealers and even consumers on them.  And so we decided, from an integrity standpoint on backlogs to actually reduce our backlog number if we did not have production slots in the future against those orders. We are making zero open orders in our production schedules. Everything has a dealer name or even a retail name on it. And when a backlog order is received by us, our teams are working to essentially schedule those in the future, 3 months from now, 6 months from now, 12 months from now.  And we had several products with significant orders that we just could not -- we cannot yet find production capacity for. And so we actually unbeknownst to all of you guys, we took those out of the backlogs that we reported for fourth quarter because we felt that was the right thing to do from a -- from an integrity standpoint. I know there's been lots of questions about the integrity of the backlogs. But the Towables backlogs remain strong. They're predominantly Grand Design. Our Winnebago branded Towables had a really strong fiscal 2021 year, and its plans for 2022 are very robust as well.  So their mix as a percentage, the Winnebago mix of the Towable segment backlog is probably growing a little bit. But I wouldn't read too much into it being relatively flat, as you said.
Ethan Huntley: Okay. That's helpful. And then just lastly, sort of on the marine front here. Can you give any update on maybe some of the supply chain? Are you sort of seeing similar challenges as what's seen in the RV business? Or maybe just any sort of general commentary on that segment would be helpful.
Michael Happe: Yes, you're welcome. And we always have to -- we also always have to clarify that before we made the Barletta purchase, while we're very proud of our Chris-Craft business, it's probably not an accurate reflection of the whole of the market and other companies are probably in a better position to comment on the health of the marine supply chain.  But now with Barletta in the fold for the last 1.5 months, and with operating our Chris-Craft business, we have a little bit bigger visibility into the marine supply chain. And generally, it is -- continues to be challenging as well there. But as you can imagine, some of the categories of components that we struggle with are different. We see more challenges at times with electrical products, switches, certain types of maybe wire harness or loom systems, you have different types of glasses and windshields as an example, that have, at times, been a challenge on some of our marine products.  Saying that, though, there are similarities at times, both businesses use furniture, both use certain types of resins for key plastic components. So you see some similarities. And furniture is probably the one that comes to mind that has been tight for both RV and marine for some time here.  And -- but again, as with my answer to an earlier question, it really depends on the week as to what the challenge of the week is from a supply chain standpoint, and that's similar in marine.
Operator: Our next question comes from Brandon Rolle with Northcoast Research.
Brandon Rolle: I have 1 brief follow-up question. On the last earnings call, you had talked about 2020 calendar retail being up low to mid-teens. And year-to-date, it looks like for the month of September, it's up 17%. Are you still comfortable with that guidance? And if so, or if not, would you be able to update your thoughts on the calendar year?
Michael Happe: I'm going to have to reference probably a different document that I don't have in front of me for that question. So Brand, I think we'll get back to you on a follow-up. Steve Stuber will get back to you with maybe our latest thoughts on that. As you can tell, we've been very focused on our fiscal 2022 year, which is underway in that period. But yes, we do have an opinion on that based on our modeling internally. I just don't have that sort of updated number in front of me right now.
Operator: We have a question from Joe Altobello with Raymond James.
Joseph Altobello: Just a couple of quick ones. I guess, first, I want to go back to an answer you gave earlier in terms of pricing and EBITDA margins. If you look at the quarter, the 12.5% EBITDA margin, how sustainable is that? And were there any unusual factors from a timing perspective on either cost or pricing that may have impacted that one way or another?
Michael Happe: Well, I'll give you my first thought on that question and then ask Bryan to weigh in. I just want to remind everybody on the call that our portfolio has been dramatically changing over the last 5 years and will likely do so in the future. And what I mean by that is because of some of the organic growth initiatives and particularly improved profitability around the Winnebago-branded Motorhome segment, our acquisitions now of 4 brands: Grand Design, Chris-Craft, Newmar and Barletta.  Our progress on operational excellence in the company, there are many reasons why our profitability has been transformed over the last 5 years. And on a quarter-to-quarter basis, there certainly are some specific things in those quarters such as product mix or recent pricing or that may have some influence.  And obviously, the comps are always dictated by what was happening a year ago. We genuinely believe that our future prospects on sustained profitability at Winnebago Industries is less a function of what's happening currently in the market, particularly as it -- in respects to some of our pricing moves as of late. But our future profitability over time will be more related to the maturation of our portfolio that we have today and the continued addition of new pieces to the portfolio and the advancement of operational excellence in terms of cost management, productivity, leverage synergy in the future.  And so we are not satisfied with what we've achieved at Winnebago Industries. We're very proud. The teams are awesome. We're competing vigorously in the market, and we believe we are providing strong results for shareholders to be proud of. But we are very much focused. You saw -- we're a fly on the wall with Bryan and I discussions with our Board about our future in 2025 and beyond, we have higher aspirations than how we're performing today.  And we will employ strategies and plans in the future to bring those to fruition. But Bryan, if you want to comment on maybe specifically the 12.5% and some of the recent contributors to that?
Bryan Hughes: Yes. I think, Mike, I think you covered it well in terms of the longer-term performance. I always, I'd like to also remind those listening of the margin performance in Towables and Motorized separately. Obviously, we'll have the Marine segment to contend with going forward, and we'll add that third segment and the impact that it has on margins. But the Towables segment has consistently had strong margins, 13, 14 and more recently, even a little bit above that EBITDA margins. On the Motorized side, we've had -- there's a long history there, but the more recent history has shown margins in the 3%, 4%, 5% range EBITDA margins. And that took a step change within the last 6 quarters or so, and now it's performing, as you noted, in double-digit territory.  And that's the culmination of many things that we've done over several years. It's not just the market. Certainly, the market right now is providing tailwinds to profitability across the board for OEMs and dealers alike and that has been beneficial. But the longer-term things that we've done, including things like that West Coast plant shut down the relocation back into Northern Iowa, the several productivity initiatives that we've undertaken in Northern Ireland, which we've talked about.  We walked away from cloning. We walked away from the Itasca brand, as you may recall, those of you who have followed us for several years and scaled back dramatically the cloning that has helped the productivity and the profitability of our dealer network as well as our own profitability. We have focused on those products that we know are differentiated. And so our mix has shifted, as Mike alluded to. And over the long term, our belief on margin enhancement and sustainability is really tied to that quality service and innovation that we often talk to that being differentiated in the marketplace is really what's going to sustain our margins over time.  And as Mike said, that's our expectation for the longer term is that -- that will have differentiated margins because our position in the marketplace is differentiated. And I think you're seeing some of the benefits of that in our last couple of year trend here.
Joseph Altobello: That's very helpful. It does sound like it's largely structural. So if I could squeeze one more in on price protection, and I want to make sure I understand what you're saying. So that incremental buyer, you thought he was buying, let's say, a $35,000 travel trailer in July. He's now buying a $40,000 travel trailer when it gets delivered in November. Does he have any recourse in that situation?
Michael Happe: So I want to be careful in terms of my answer on retail price protection because it involves multiple parties, primarily the dealer has the ultimate answer to the end consumer on whether that retail price is protected or not. The dealer will engage the OEM for that product as to whether the OEM will support or participate in any retail price protection. That will depend on the OEM brand.  It will depend potentially on the circumstances with that customer. Historically, because retail sold units have been a lower percentage of our sales in some of our brands and because the time to delivery from an out-of-stock retail deposit to time of delivery has been a lot shorter. We have tended in most of our brands to retail price protect those commitments with our dealers.  Ultimately, it's the dealer's decision, but we have offered consistent support through the years. That position has evolved currently because of the potential time it would take to deliver a retail unit to that customer and the potential change in input costs, especially on units that maybe even haven't been produced yet when that customer puts that deposit down. But it will depend on the dealer. It will depend on the model. It will depend on the brand. It will depend on the time gap between when that retail deposit is put down and when that unit might be delivered.  So those are daily conversations between our teams and our dealers are well aware of our current policies and stances from each of the outdoor businesses and are having those conversations currently. So I don't want to make any commitments about the retail price to the end consumer because that ultimately is the dealer's choice. But as OEMs, we're always going to try to be good partners with our dealers as we mutually try to manage a very dynamic environment. So, again, it depends answer.
Operator: This concludes the Q&A portion of today's conference. I'd like to turn the call back over to our host.
Steven Stuber: Thank you, Catherine, and thank you, everyone, for joining our call today. We really do appreciate your time. Enjoy the rest of your day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.